Operator: Good day, ladies and gentlemen, and welcome to the SS&C Technologies Second Quarter 2017 Earnings Call. [Operator Instructions] As a reminder, today's conference is being recorded. I'd now like to introduce your host for today's conference, Ms. Justine Stone, Investor Relations. Ma'am, please go ahead. 
Justine Stone: Hi, everyone. Thanks for joining us for our Q2 2017 earnings call. I'm Justine Stone, Investor Relations for SS&C Technologies. With me today is Bill Stone, Chairman and Chief Executive Officer; Norm Boulanger, President and Chief Operating Officer; Rahul Kanwar, Senior Vice President and Managing Director, Alternative Assets; and Patrick Pedonti, Chief Financial Officer. 
 Before we get started, we need to review the safe harbor statement. 
 Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent annual report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today July 27, 2017. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. 
 During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I will now turn the call over to Bill. 
Bill Stone: Good afternoon, everybody, and thanks for dialing in to our second quarter 2017 earnings call. 
 This quarter, SS&C capitalized on the improving market conditions and grew adjusted revenue 7.7% to $414 million, and adjusted earnings per share 17.9% to $0.46. Other financial highlights include a 39.1% increase in net cash provided by operating activities in Q2, and we paid off $208 million in debt, bringing our leverage ratio to 3.45.
 Our competitive advantages in both our licensed software and fund administration businesses are clear, and these strengths have led to a number of large mandates signed and a plethora of opportunities before us. We are now the biggest alternative fund administrator in the world. We're also the biggest private equity fund administrator in the world and the largest provider of investment software. We are diving deeper into real assets, registered investment advisers and credit and loan servicing markets which represent multi-hundred million dollar opportunities. Again, none of this is possible without the dedication and drive that our 8,200 employees exhibit every day. We were happy that Forbes named us as one of America's best midsized employers in May. When you're the employer of choice in this business, you get to select and choose the best people. We appreciate all 8,200 employees that work here in the 84 -- 85 offices we have around the globe. I'll now turn it over to Norm. 
Normand Boulanger: Thanks, Bill. Demand in the first half of 2017 has continued to increase, and SS&C has been releasing new products, functional upgrades and enhanced interfaces to help investment management firms with today's complex industry dynamics. A study sponsored by SS&C in conjunction with the Advent user group reveals the investment management industry is at a crossroads. While strong markets are driving growth, regulatory, cybersecurity and investor requirements put pressure on firms’ economics. 76% of the firms we spoke to expect to spend more on operations and technology this year with an emphasis on security, regulatory and compliance, and client relationship management. Firms are looking to gain more scale as activities like reconciliation reporting still require significant time and effort. 
 We've announced several product upgrades this quarter to improve our client experience. Precision LM Borrowers Viewpoint is a secure web portal designed to provide borrowers 24/7 access to the loan information. This helps decrease the volume of calls into the loan servicing center and allows the borrowers to be more self-sufficient. This enhancement was developed with significant input from our client base. 
 We also announced the first line of 2017 upgrades for the SS&C Advent product suite. While we see other firms lagging behind on product investments, we are increasing the pace of innovation on our core solutions. Our semiannual release has delivered new functionality to clients faster, and when clients are selecting Advent Outsourcing Services, we are able to provide more value with a full range of tailored cloud solutions and operational services. 
 Now I'd like to review some of the key deals for Q2. 
 The Singapore branch of a multinational bank licensed SS&C's MarginMan for its FX functionality over a 5-year term. A good relationship with a PORTIA client in the Middle East led to a cross-sale of our performance attribution system. An existing AsiaPac client chose outsourcing services for their PORTIA license. A $2.7 billion U.K.-based hedge fund, a current fund administration client, chose Advent Outsourcing Services for APX and Moxy for their internal operations. A $20 billion asset management manager upgraded from Axys to Geneva to support their multiple asset classes. An $850 million AUM trust chose Advent Outsourcing Services for APX and Moxy because of the ability to address a wide array of needs. A $5 billion family office is using Advent Outsourcing Services for APX. Sales execution and involvement of subject matter experts were key to this win. 
 An existing Primatics EVOLV client entered into a 5-year license extension for EVOLV as the bank sees significant value in the solutions set. A Midwestern bank with $25 billion in assets chose SS&C EVOLV for current reserving, CECL readiness assessment and CECL reserving. This win bolsters our reputation as a premier provider on the reserve solutions space. A long-time SS&C Primatics client looked at SS&C as a trusted partner for the integration of a 2016 acquisition. We are responsible for on-boarding the acquisition's portfolio, and will handle day 1 and day 2 loan accounting and EVOLV business services. 
 I will now turn it over to Rahul to discuss the alternatives business. 
Rahul Kanwar: Thanks, Norm. SS&C GlobeOp grew 15.3% in revenue for the quarter ended June 30, 2017, compared to June 30, 2016. We continue to see investment organizations approaching us in search for wide-ranging solutions for their technology and operational needs. These go beyond fund administration to middle office processing, performance and analytics, investor reporting, regulatory and compliance and tax processing. We remain very focused on innovation and launching new products and services to bring additional value to our customers. This quarter, we had significant releases in our Fund Hub and e-Investor applications, and have added SS&C modernization reporting, MiFID II reporting and common reporting standards to our suite of regulatory products. Now I'd like to go over key deals for Q2. A $10 billion-plus licensed client transitioned to full service fund administration. An existing customer moved a large fund to SS&C GlobeOp; one of the world's largest investors, owners and operators of infrastructure assets converted several infrastructure funds to SS&C GlobeOp. An oil and gas PE firm chose to convert their in-house administration operations to SS&C GlobeOp, citing our onboarding expertise and high-touch services. A large multi-asset manager added to their existing relationship with us and moved their private equity fund administration to SS&C GlobeOp. A hedge fund specializing in the life settlement asset class converted to SS&C GlobeOp from a smaller competitor. Our ability to provide a broad range of services from investor services, regulatory services, as well as Luxembourg and Ireland-based fund administration was the reason for the win. 
 I will now turn it over to Patrick. 
Patrick Pedonti: Thanks, Rahul. So for the second quarter of 2017, we reported GAAP revenue of $411 million, GAAP net income of $51.2 million and diluted EPS of $0.24. Adjusted revenue was $414.1 million, excluding the adjustment for the acquired deferred revenue from the Advent acquisition. We had a strong quarter; adjusted revenue was up 7.7%, adjusted operating income increased 12% and adjusted diluted EPS was up 46% -- was up to $0.46, a 17.9% increase over 2016. Adjusted revenue in total increased $29.7 million or 7.7%. The acquisitions of Wells' funded services, Salentica and Conifer contributed $20.7 million in the quarter. Foreign exchange had a negative impact of $2 million or 0.5% in the quarter, mostly due to the weakness in the British pound. Adjusting the prior year for all the acquired Citi Fund Admin revenue and the lost Advent revenue as a result of the acquisition, organic growth on a constant currency basis was 5% in the quarter. Adjusted operating income for the second quarter was $157.3 million, an increase of $16.8 million or 12% from the second quarter of 2016. Adjusted operating margins increased to 38% from 36.6% in Q2 '16. Operating margins at the Citi Fund Admin acquisition business and the core businesses drove the margin improvement in the second quarter of 2017. 
 Adjusted consolidated EBITDA, which is defined in Note 2 of our financial statements, was $163.7 million or 39.5% of adjusted revenue and an increase of 11% over 2016. Net interest expense for the second quarter was $26.3 million and includes $2.6 million of noncash amortized financing costs and OID. The average interest rate going forward, assuming current LIBOR rates and including the notes, is about 4.2%. We recorded a GAAP tax provision of $11.3 million or 18.1% of pretax income, and we expect the full year GAAP tax rate to be in the range of 20% to 22%. Adjusted net income was $96.2 million and adjusted diluted EPS was $0.46. The adjusted net income excludes $52.7 million of amortization for intangible assets, $10.4 million of stock-based compensation, $2.6 million of noncash debt issuance costs, $3.1 million revenue adjustment and $2.3 million of other items, mostly FX on balance sheet items. And the effective tax rate for the adjusted net income was 28% for the quarter. 
 On the balance sheet and cash flow for June 30 -- as of June 30, we ended the quarter with $90.4 million in cash and cash equivalents and $2,351,000,000 of gross debt, for a net debt position of approximately $2,261,000,000. Operating cash flow for the 6 months ended June was $193.8 million, a $54.5 million or 39.1% increase over 2016. Cash flow for the first half of 2017 was driven by improved cash earnings, improved accounts receivable collection, but was offset by higher tax payment. So for the 6 months, we've paid down $208.4 million of total debt, including the remaining portion of the revolver that was outstanding in the prior quarter. And the revolver balance as of June 30 was 0. We paid $41.9 million of interest compared to $67.9 million in 2016. We paid $30.1 million in cash taxes compared to $10.7 million in the 6 months 2016. The accounts receivable DSO improved significantly in Q2, and was 51.3 days compared to 54.3 days as of March 2017. The DSOs for the companies we acquired in 2016 was 51 days, an improvement from 64 days as of March 2017. We used $25 million for capital expenditures and capitalized software, mostly for facilities expansion and IT expansion. And we paid a total of $25.5 million in dividends for the first half of '17. 
 Our consolidated LTM EBITDA, which we use for covenant compliance, was $655 million as of June '17, and includes approximately $6.3 million of acquired EBITDA and cost savings related to acquisition. And based on a net debt of approximately $2.3 billion, our total leverage ratio is now to 3.45x. 
 For outlook on the third quarter and the remainder of the year, our current expectation for the third quarter is adjusted revenue in the range of $420 million to $428 million. Adjusted net income of $103.5 million to $108 million and diluted shares in the range of $212.4 million to $213 million. For the full year of 2017, we currently expect adjusted revenue in the range of $1,669,000,000 to $1,689,000,000 and adjusted net income of $403 million to $413 million, and diluted shares in the range of $211.3 million to $212.1 million for the full year. Cash for operating activities should be in the range of $485 million to $500 million, and capital expenditures in the range of 2.8% to 3.2% of revenues. And we expect that the tax rate will be 28% for the adjusted net income. 
 Now I'll turn it over to Bill for final comments. 
Bill Stone: Thanks a lot, Patrick. Now another highlight this quarter was our successful move to 4 Times Square, consolidating 5 offices across New York metro and bringing nearly 1,000 employees together. This new space will encourage collaboration, increase efficiencies across our businesses and become a real center of innovation. We look forward to hosting many of you here in the future. And now, we'll open it up to questions. 
Operator: [Operator Instructions] Our first question comes from the line of Chris Donat with Sandler O'Neill. 
Chris Donat: Bill, and I guess, Rahul, we've been looking at the forward redemption indicator, and it's been pretty good for the last 6 months when you compare it year-on-year. So it kind of raises the question for me of when you look back at the hedge fund administrators you've acquired over the last couple of years, I would imagine they were feeling some pressure on outflows. Anyway, as we look forward and we're in a better position on outflows from hedge funds, does that change the dynamic of industry consolidation? In other words, is good news sort of bad news? 
Bill Stone: I mean, I'll take this first and then turn it over to Rahul. I don't really think so, Chris. I think what's happening in financial services, in fund administration, is particularly for the bank-owned fund administrators. I don't really think that a few billion dollars’ worth of fund flows is going to decide whether they stay in this business or not. So I think that consolidation will continue. And then for the independent ones, it can make a little bit of a difference. But there's only a couple of large independent ones that we would be particularly interested in anyway and so I don't see it as much of a bad news situation. Rahul? 
Rahul Kanwar: No, I'd agree with that, Bill. 
Chris Donat: Okay. And then just for following up with Patrick. You mentioned that the Citi operating margin drove some of the improvement in the overall margin. Can you tell us where the operating margin on the Citi business is at this point? 
Patrick Pedonti: Yes. The Citi business for the quarter was -- their operating margins were approximately 28%. But the big change in the quarter really is the core business. If you take out the acquisitions and you take out Citi, rest of the core business, the margins were almost up 2% in those core businesses. 
Operator: Our next question comes from Ashish Sabadra with Deutsche Bank. 
Ashish Sabadra: My first question was about the organic growth assumption for the third quarter guidance. 
Patrick Pedonti: Yes. For the third quarter, based on the guidance we provided, $420 million to $428 million, organic growth will be in the range between 3.7% and 5.6%. 
Ashish Sabadra: Okay. That's helpful. And then just maybe a quick question around -- can you just give us an update on the Advent host, the revenue growth in Advent Software and thoughts around cross-sell opportunity there, how that's trending? 
Normand Boulanger: Sure. I'll take that. This is Norm. Advent had a pretty strong quarter, actually, and primary areas that drove that growth was Advent Outsourcing Services, Black Diamond and APX, and to some degree, Geneva. So we're pretty optimistic about momentum in that business. We have great client retention that's been running high, and we've got great prospects and a really solid sales pipeline. So we feel like that's got a good chance to grow. It had a pretty strong quarter last year, so its growth this quarter was, from an organic perspective, was only 2% or so. Patrick, if you can clarify that exact number. But we're optimistic about the Advent business and the momentum we see in it. 
Operator: Our next question comes from Alex Kramm with UBS. 
Alex Kramm: Just wanted to come back on the margin that you talked about a minute ago. I appreciate it increased year-over-year by 200 basis points or so. But quarter-over-quarter, it was flat. Can you kind of run through that? I would have expected that margin to improve with kind of the improvement on the acquisition side, et cetera. So maybe just help us link the quarter here? 
Patrick Pedonti: Are you referring to the Citi business? 
Alex Kramm: No. I was talking about the overall margin for the business. I think it was -- operating margin was flat Q1 to Q2, same with EBITDA margin. And with everything that you're talking about, I would expect a little bit more benefit from the improvement across the board to also happen on a linked-quarter basis. 
Patrick Pedonti: Well I think -- yes. The Q1 and Q2 margins were very similar. I think, it's mostly due to that we're investing for the future and investing for growth, so continuing to invest in the business. And I think overall, we had a pretty good quarter as far as revenue growth and maintaining the margins. 
Alex Kramm: So I guess, should we be thinking about the margins kind of flattish from here and no improvements coming through with some of the, I guess, costs taken out of the acquisition, et cetera? 
Patrick Pedonti: No, I would expect margins to continue to improve in Q3 and Q4 as some of the cost synergies are implemented at Citi, Conifer and Wells. 
Alex Kramm: Okay, good. And then maybe just secondly, away from the margin. Just more broadly. I mean, I think somebody asked about the improvements around redemptions and hedge fund performance, et cetera. Can you talk a little bit about how concentrated that is? I mean, we only see the aggregated numbers. I mean, is that really helping everyone in your customer base? Or is it just a handful of funds that are doing well? I guess, what I'm asking is, is there broadly bigger appetite to spend? Or is it just very concentrated and not helping everyone yet? 
Rahul Kanwar: I think that the indicators are actually pretty broad representations of the client base. So if you kind of decompose and look within them, there's, there's no individual clients that will really have big enough flows to move the indicators as a whole. And just more anecdotally, moving away from the numbers, we're seeing a lot of interesting new fund formation. We’re seeing some activity coming back into kind of the area. We're seeing folks look at new structures and new types of assets. So we feel pretty good about the momentum. 
Bill Stone: The second thing I would say, too, is that one of the things that's happened over the last -- even going back to our acquisition of GlobeOp in June of '12. That's now 5 years. So now, there's a tremendous amount of technology that we have brought out over the last 5 years, that when, now, all these new customers come to us and they get to see this broad swath of new technology that their current administrators don't have, that's creating a lot of momentum for us. 
Operator: Our next question comes from the line of John DiFucci with Jefferies. 
Alexander Ljubich: This is A.J. Ljubich on for John. First up, Bill, maybe you could provide us your latest thoughts on potential acquisition candidates? As markets have continued to grind higher, are valuations incrementally less attractive than they've been? And understanding that, of course, you always try to be disciplined about valuation. What's kind of kept you on the sidelines for about 1/2 -- over 1/2 year at this point? 
Bill Stone: Yes. I think that it takes 2 to tango, right? So the things we've looked at have been very fully priced. And we're still in talks with a number of potential acquisitions. I still think we'll get 1 or 2 done by the end of the year. But I don't really have a crystal ball. And I think that our business is gaining momentum, and I think making sure that we capture this momentum, I think, is important. And that's something where, I think, for the market to see us grinding organic revenue growth higher and higher and higher, I think will be good for all of our shareholders, and then also, will be a big focus on our customers. We've sold a lot of business in 2016 and also in the first half of 2017, and these are large, demanding clients. So we have to focus on making sure that the implementations and the cutovers from these new clients goes well. And you can't take your best people off your clients today to make sure the new ones go well, because then the other old ones won't go well. So it's a focus, and I think we've been doing a really good job at it, but we're constantly trying to improve our processes and improve the customer experience. And I think that's something that -- when people want 10x revenue for their businesses, I ask them if they could borrow enough money to buy our business. 
Alexander Ljubich: Understood. And if you could also just give us a quick update on some of the executive shifts within the Advent business. I believe shortly after Dave Welling was named co-Head of that business, following Pete Hess' departure, he had left. So just wondering, have you seen any sort of incremental churn in personnel within the Advent business outside of those executive changes? And what's sort of the strategic focus for Advent now that those shifts have occurred? 
Normand Boulanger: Yes. I'll take that, Bill. This is Norm again. There was no change in the strategic focus. We are very committed to all the markets that Advent serves, including the Black Diamond business, which was what Dave was really primarily responsible for. Dave had a great opportunity to come become CEO of an asset management firm in Chicago, right? So that just happens. That's positive, really, for Dave, as well as for us when one of our people becomes successful enough to become CEO of an asset management firm, and he's now a prospect. So Robert Roley's taken over the whole business. In some ways, it's given us more clarity and a single point of leadership, which I think makes it easier in some ways. So on the whole, really comfortable with the Advent business and the people that are running at and the opportunities that we face. 
Bill Stone: Yes. And to further that, too, Norm, I think you'd agree that since Pete Hess retired over a year ago now, I think the only churn we've had in the Advent executive ranks is Dave Welling, which was last month. So it's been a year really since we've had any change. And like Norm said, I think the asset manager he went to, he's managing more than -- it's a big IRA. It's one of the biggest in the country, I think, and it manages over $10 billion. And so we wish him well. He's a good guy, and so is Rob Roley. And Rob Roley is steeped in all the different businesses in the Advent business, and he's done a great job in the cross-sells and the integration with the rest of SS&C, and we're excited to have him. 
Operator: Our next question comes from Chris Shutler with William Blair. 
Andrew Nicholas: It's actually Andrew Nicholas filling in for Chris. First question, and I apologize if I already missed it. But did you give an updated organic growth guide for the full year? 
Patrick Pedonti: No. So the full year, the organic growth percentage, based on the ranges we provided, would be somewhere between 3.8% on the low end and 5% on the high end. 
Andrew Nicholas: Okay. So then I guess my question there would be, given such a strong quarter in Q2 at 5%, can you kind of walk us through the thought process in terms of only lowering -- or excuse me, raising the bottom end a touch? 
Patrick Pedonti: I think right now, we're $4 million ahead of the midpoint. That's what we kind of focused on, where we are at the midpoint. So the current guidance is $4 million ahead at the midpoint from where we were at the end of Q1. 
Andrew Nicholas: Got it. Got it. Makes sense. And then, secondly just wondering if, Bill or Rahul, you could provide an update on the real assets business? I know that was one area where you thought you could see some strong growth in the back half of the year and in 2018. So just wondering if you could provide some color on how that business is going? 
Bill Stone: Yes, I'll start, then I'll give it to Rahul. But we just had a big meeting with some potential collaborative firms in the real assets business, with Bhagesh Malde yesterday. Bhagesh has got a lot of irons in the fire and has hired some really great people, so we're excited about what he's doing and how he's doing it. And I believe that he would say, he would be more optimistic than me or Rahul, and we're plenty optimistic. 
Rahul Kanwar: Yes. And we've already won some deals and we're in the hunt on other big ones. 
Operator: Our next question comes from Brian Essex with Morgan Stanley. 
Brian Essex: I was wondering if you could dig in a little bit into primary contributors to organic growth in the back half of the year. I know in Q1, you talked a little bit about your win rates with new fund launches, which was pretty impressive. And then I guess, as we come into the back half, new win rates contribution, Russell contribution, which I guess started contributing in June; and then any kind of organic contribution from AUA that you might anticipate. Obviously, that one's probably the bigger needle mover. But just interested in getting your view on primary drivers and how that's trending to the rest of the year? 
Bill Stone: Well, Brian, this is Bill. I think you kind of hit on it. We are having a pretty good win rate. We have really strengthened our sales force, I believe, and I think that we have a really full pipeline. And we've won a lot of business in '16 and in '17, and get -- and we really start getting that revenue in 3, 6, 9 months after we sign the contracts, is when the revenue really starts to roll in. And I think we've had pretty good retention. And so I think those are 2 big things. And then, obviously, right, the stock market's up a couple of thousand points since November. That's going to start washing into our results. And I think those are things that we think are going to continue. And Norm said earlier that the investments that we've made on new products and new services from new interfaces to new products, like Fund Hub and new performance capabilities. We also are seeing a lot of acceptance on Anova, which is a product that we got in December of '14 with the DST acquisition. And so I think there's just a lot of things that we're doing that are gaining strength for us and the kinds of people that we're hiring and the disciplines that we're showing, I think, is what's going to play out well for our earnings, our cash flow and our revenue. 
Brian Essex: Got it. And then, what are the primary levers that might push you to the upper bounds of your guidance range? Is it primarily market? Or what are some of the other ones that, as we kind of move through the year, what would drive upside on an organic basis to your view? 
Bill Stone: Well, again, Brian, let's just say Rahul talked about a $10 billion client that just went full service for us from being a licensed client. So that $10 billion account might be worth $5 million, $6 million, $7 million to us, right, so when it's fully implemented. So if we get it fully implemented, let's say, in November, right, that means that -- and we say it's $6 million to make it easy, that means we pick up $500,000 in November and $500,000 in December. So we pick up $1 million this year with one client that we've signed in the second quarter. So there's a lot of those clients, and there's a lot of demands that they make, just like Morgan Stanley is a great client of ours, too, and just like you guys would make on us. And so we're both wanting to expand the relationship, and so more than willing to build them additional technology and new processes. But that gets us a bigger deal, but it doesn't necessarily get them live, right? So there's a push and a pull in how you really drive contract signings to contract revenue. It's not like the license business where you get a check and you get a recognized revenue. Although I think there's a new accounting rule coming out this year that's going to get required in 2018 that's going to change some of that. So I think that's the biggest driver, is knocking down these conversions in a way that our clients are delighted. It extends the relationship we have with them, it adds additional revenue, but it sometimes elongates the process. 
Operator: Our next question comes from Patrick O'Shaughnessy with Raymond James. 
Patrick O'Shaughnessy: Patrick, if I heard correctly, I think you said that Citi margins were 28% in the quarter. And if I think back to, I think it was the fourth quarter call, they were in the low 30s and your expectation was they could probably meet company level margins by the end of this year. So did I hear it correctly on that 28% number? And if so, was there something that happened with that business? 
Rahul Kanwar: This is Rahul. I'll take a shot at it, and then Patrick, jump in, please. So okay, there's some seasonality in revenue in these businesses, right? Citi, in particular, we knew that there was going to be some revenue falling off, and it did. We still expect to get to 40% by the end of the year and we're on plan in terms of our cost synergy targets and milestones. 
Patrick O'Shaughnessy: Okay, great. And then, Rahul, I guess as long as you've got the mic, can you tell us what your AUA was at the end of the quarter? 
Rahul Kanwar: Yes, $1.41 trillion. 
Patrick Pedonti: That's in dollars. 
Patrick O'Shaughnessy: And then one last one. Your share count creep has been a little bit higher last few quarters than maybe it has historically been. Is that a function of the excess tax accounting shift? Or is there something else going on there? 
Patrick Pedonti: Well, the impact in Q1 was because of the accounting shift, right, where you're no longer getting a buyback for the tax benefit. So I think the majority of the Q1 increase was that. In Q2, really, 2 factors: One is the stock price was up a lot. That increases diluted shares. So I think the average stock price was in the high 30s in second quarter. Plus we had a more than usual employee stock option exercises in the second quarter that increased the diluted shares. 
Operator: Our next question comes from Dan Perlin with RBC Capital Markets. 
Daniel Perlin: So I had a question on MiFID II. You kind of slammed right by it on this MiFID II reporting that you were talking about. And I guess there's kind of a -- I guess, there's 2 questions here. One is, there's an argument in the market to be made that a lot of the MiFID II opportunity could actually benefit hedge funds as opposed to traditional long-haul lease in terms of kind of funds that are going to flow into that and the resources that they're given. And since you guys are still heavy on the alternative side, I'm wondering, one, do you guys agree with that? And then two, can you just tell us, is this MiFID II reporting product, is it significant? Are you only doing it in Europe now? Are you planning on bringing it in the United States in '18? Like where is that? It would just seem like that could potentially be a catalyst for your guys business longer term? 
Rahul Kanwar: I think the way we look at all these regulatory things is we don't really get to control which ones our clients are subject to. But what we want to be sure is when they are subject to them, that we're equipped to take the data that we already have and turn that into a filing that is useful for them. And so MiFID II is not particularly significant for us right now. We're just in the process of rolling it out, but we've got some prospects and we expect that will get more significant over time, just like any of the other ones that we're building, and there's a number of other ones that we’re working on. In terms of kind of how that shifts the mix between long only assets and hedge funds, it's really just too early for us to tell. 
Daniel Perlin: Okay. Patrick, in the past, you've given us kind of a margin basket for the acquired assets. So Citi, Wells, kind of Conifer, all included. Can you give that to us again? 
Patrick Pedonti: Well, Citi is no longer acquisition, right? But in the second quarter. I think we've said that those margins -- Citi was about 28%. The rest of the acquisition, which was Wells, Conifer and Selentica, were -- their operating margins were under 10% in the quarter. 
Daniel Perlin: Okay. Under 10%. Got it. And then, just one quick one on the organic number. I know you -- I think you said 3.7% versus 5 -- I want to say 5.6%. Just what are the puts and takes to get you to kind of the low end of that range versus the high end of the range. Is it – was it fund flows? Is it new capital creation? Is it the conversion of the some of these other clients, like in Rahul's count, where you got $10 billion that's now full fund administration client. I mean, what's the big triggers on those 2 big ranges? Because it's pretty wide. 
Patrick Pedonti: The other -- I mean, there is that. Asset flows and winning new business and the fund administration business and retention rates and all that. But also another significant contributor is the amount of license business we win in the next 6 months, actual license. 
Daniel Perlin: Got it. So what you can actually capture in near term. Bill, you almost -- you're at 3.4 turns net debt to EBITDA. You got closed to probably $2 billion now of firepower, plus or minus. Are you looking more at tuck-ins? Or are you looking at more big, strategic, meaningful drivers to earnings-type of acquisitions? 
Bill Stone: I think we're looking -- as always, we're looking at everything. And I -- we haven't -- traditionally, we haven't had a knock-on-doors process of trying to get acquisitions. And maybe we will dip our toe into seeing about, can we catalyze some of these things to sell to us? Generally, our position had been that if you try to catalyze it, the best catalyst of getting somebody to sell you something is to offer more money, right? So we've been trying to be disciplined about that offer-more-money process, and it takes 2 to tango. And the higher you start the negotiations, the higher you win. So we're pretty disciplined about that, but there's still a lot of stuff out there for sale and prices are high, but interest rates are low. And as you said, we have a lot of fire power and we have a lot of capability. So when we get opportunities, we pounce pretty hard, but we're not going to -- we're not buying stuff for our egos. We're only going to buy stuff if we can make money. And if we can't make money, we're not that interested. 
Operator: We have a follow-up question from the line of Alex Kramm with UBS. 
Alex Kramm: Just wanted to make sure I get all the numbers that you may have not mentioned. And maybe you did, but the alternatives business, did you mention the organic growth for the quarter? And maybe also the client retention number. I think you usually give those numbers. 
Patrick Pedonti: Yes. The fund administration business grew 8.9% organically in the quarter. And then the retention rates ticked up a little bit. So last quarter, at the end of Q1, the LTM retention rate was 96.3% and the LTM retention rate as of June '17 is 96.6%. But went up from 96.3% to 96.6%. 
Alex Kramm: Okay, perfect. And then just maybe since we're almost done here, maybe for Bill. During the quarter, I think at some point, there was some, I guess, articles out there around private equity interest in the company. I think you already debunked those at a conference. But maybe just more broadly, is there -- did you see a particular appetite in running this company privately? Or any sort of interest from your end to say like, hey, I can hand this off over time to maybe strategic or somebody who can do a better job? Or any change in that kind of your appetite broadly, I guess, would be the question. 
Bill Stone: Alex, somebody's going to run this company better than me? 
Alex Kramm: Of course, not. 
Bill Stone: Yes, I was going to say, "And I’m going to say that?" That's not very likely that I'm going to say it. It's possible that somebody could. But I think right now, we really have a great team. We really do keep adding some great talent across the board. And I think that -- we're a public company. We work for our shareholders. And as a public company working for your shareholders, someone wants to pay a very, very high premium for us, I think we should sell it to them. I mean, that's what we're trying to do, right, create value. So we're not for sale and we're not looking to not work here. At the same time, if private equity raises too much money and they have to spend it in a very fine fashion for such a fine company as us, then we might have dance or two, to see whether or not their definition of fine and our definition of fine is the same thing. But I would tell you that we think we have a tremendous opportunity here. I think we're executing. I think the ship is going to start moving faster and it's just really keeping all of our people focused on our client. And I think that's what we have done and I think that's what we'll continue to do. And I hope we surprise our shareholders positively. 
Operator: And I'm showing no further questions in queue at this time. I'd like to turn the call back to Mr. Stone for any closing remarks. 
Bill Stone: Again, we really appreciate people coming in at summer time and listening to our quarterly call. We're working hard for you, and we will continue to do that. Thanks. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may now disconnect. Everyone, have a great day.